Super Group (SGHC) Limited Earnings Call – Q4 and Full Year 2025
Nkem Ojougboh: Hello, everyone, and thank you for joining the Super Group (SGHC) Limited fourth quarter and full year 2025 earnings webcast and conference call. My name is Lucy, and I will be coordinating your call today. During the presentation, you can register a question by pressing star followed by. It is now my pleasure to hand over to your host, Nkem Ojougboh, Head of Investor Relations, to begin. Please go ahead. Good morning, everyone. And thank you for joining us today to discuss Super Group (SGHC) Limited's results for the fourth quarter and full year 2025. During this call, Super Group (SGHC) Limited may make comments of a forward-looking nature that is subject to risk, uncertainties, and other factors discussed further in its SEC filings that would cause its actual results to differ materially from historical results, or from the company's forecast. Super Group (SGHC) Limited assumes no responsibility to update forward-looking statements other than as required by law. On today's call, Super Group (SGHC) Limited may refer to certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. Super Group (SGHC) Limited has provided a reconciliation of the non-GAAP financial measures to the most comparable GAAP figures in the press release issued yesterday and available in the Investor Relations page of Super Group (SGHC) Limited's website. Super Group (SGHC) Limited recommends that investors refer to its supplementary presentation posted to the company's website. Today, I am joined by Neal Menashe, Chief Executive Officer, and Alinda Van Wyk, Chief Financial Officer. After our prepared remarks, we will open the call up for questions. I will now turn the call over to Neal.
Neal Menashe: Thank you, Nkem.
Nkem Ojougboh: Good morning, everyone. 2025 was a standout year for Super Group (SGHC) Limited. We refined our portfolio by exiting US iGaming,
Neal Menashe: allowing us to focus on markets where we expect clear durable advantages and where we believe we can win decisively. Concentrating resources in our core regions in this manner has paved the way for the record growth and operating leverage that we continue to see today. Despite some unfavorable sports outcomes late in the year, Q4 was another record-breaking period. Monthly active customers exceeded 6,000,000, a new record, and deposits also reached new highs. In preparation for a strong 2026, we successfully launched ZAR Supercoin in South Africa, the first step in our broader digital payment infrastructure. We are also pleased that we have received the final regulatory approval of the Apricot transaction, which strengthens our Sportsbook technology platform and begins the process of real-life cost savings. Turning to operational performance, we closed the year with significant momentum across priority markets. Europe saw strong revenue growth this quarter, up 23% year over year, led by a 37% increase in the UK. In Spain, revenue grew 5% on the back of strong retention and product improvements. In Germany, we remain encouraged by the upcoming H1 slots launch and the operational efficiencies we continue to implement across the market. Africa grew 27% for the full year against 2024, with Botswana outperforming since launch and South Africa delivering strong wagering growth and record casino volumes. Compared to fourth quarter 2024, Africa was up 7%. This was a very solid result given last year's robust sports margin and this year's customer-friendly outcomes. The underlying strength of our Africa business is highlighted by 31% growth in sports wagers and 52% growth in casino wagers year over year. Overall, Africa remains a powerful growth engine supported by continued customer momentum and high brand loyalty across the region. And we continue to assess our strategy in Nigeria. In North America, Canada ex-Ontario increased 15%, supported by strong customer retention and acquisition coupled with improved product rollout. In Ontario, product improvements also drove record engagement and deposits. Alberta continues to show solid growth, and we are preparing for regulation in Q2. Overall, North America, excluding the US, grew 10%. APAC revenue rose 6% year over year despite New Zealand's 5% dip, reflecting our disciplined wait on the sidelines ahead of the long-anticipated local regulations framework. We continue to undertake product innovations in support of future growth. During the quarter, we improved sports promotional mechanics for Betway x Africa, leading to a 400 basis points sequential increase in the Sportsbook parlay wager mix. In Africa, in the beginning of this year, we completed the technology migration in all our markets. We are now implementing AI-driven hyper-personalized bet pricing to translate real-time liability analysis, market data, and customer behavior insights into dynamic odds. We are confident that this will improve our trading efficiency and help to mitigate volatility. These upgrades are all part of our broader focus on improving customer engagement, optimizing the efficiency of our promotional mechanics, and building scalable features that support long-term margin quality. In South Africa, ZAR Supercoin has two significant catalysts expected in the coming months. First, the launch of the Supercoin wallet, which will give customers a seamless way to acquire, hold, and redeem directly within our ecosystem. We expect this to increase engagement. Second, we are preparing additional exchange listings to broaden access, deepen liquidity, and expand distribution. We believe that together, these developments will position us well for this year. With that, I will turn it over to Alinda.
Alinda Van Wyk: Thank you, Neal. 2025 was truly exceptional. Our total revenue for the year reached $2,200,000,000, reflecting a 22% increase compared to the previous year. Adjusted EBITDA saw an increase of 57% year over year, amounting to $560,000,000. This represents an impressive margin of around 25%, compared with 19% in the prior year. Despite the challenging year-over-year benchmark, total revenue grew 8% to $578,000,000 during the fourth quarter, with adjusted EBITDA up 11% to $139,000,000. Record deposits were driven by casino momentum and an active sports calendar. Total wagering activity remained robust with an increase of 20% for sports and 17% for casino compared to last year. In addition, average monthly active customers reached an all-time high of 6,100,000 for the quarter, a 16% jump from the same period in 2024. Our results demonstrate a commitment to cost discipline, and we maintained operational and marketing efficiencies. This is supported by further AI-enabled improvements. Enhancements in customer support, product customization, and sports trading are ongoing. The consistent strength of our business lies in our effective conversion of EBITDA to free cash flow, as shown by this year's impressive 72% conversion rate. We closed the year with $513,000,000 in cash, up 32% year over year, an increase that underscores the resilience and durability of our business model. Our capital allocation strategy includes a commitment to rewarding our shareholders. Over the course of 2025, we returned $156,000,000 to shareholders, including $20,000,000 in Q4, with an additional special dividend of $125,000,000 by this month. Our robust cash generation allows us to maintain this discipline while funding organic growth. Turning to guidance, 2026 is off to a strong start, aided by impressive active customer numbers even higher than last quarter. After an unusually high performance in January, sports hold has returned to levels in line with our trailing twelve-month average of last year. For 2026, we are guiding to total revenue of at least $2,550,000,000 and adjusted EBITDA of more than $680,000,000. This reflects purely organic growth, continued customer engagement, and a FIFA World Cup uplift. Notably, this guidance assumes ongoing marketing discipline at roughly 22% of revenue, UK tax increases taking effect from April, Alberta regulating locally from midyear, and continued operating leverage supported by a strong balance sheet. We are pleased to share that the board approved an increase of our minimum quarterly dividend target from $0.04 to $0.05 per share. The first payment will be made towards March, with the board reviewing this on a quarterly basis thereafter. To conclude, we expect to release full financial statements in April, consistent with prior periods. I will now hand back to Neal for closing remarks.
Neal Menashe: Thanks, Alinda. Looking ahead, we are excited to continue scaling our strongest markets, exploring expansion into new African territories, and we believe that our teams are well prepared for upcoming regulation. The expanded World Cup schedule offers a driver for global engagement, setting the stage for a strong 2026. To our employees, thank you for an exceptional year. And to our shareholders, thank you for your ongoing support. I will now hand over to the operator to open the call up for questions.
Nkem Ojougboh: Operator? Thank you.
Operator: To ask a question, please press star followed by 1 on your telephone keypad now. When preparing to ask your question, please ensure your device is unmuted locally. The first question comes from Ryan Sigdahl of Craig-Hallum Capital Group. Your line is now open. Please go ahead.
Ryan Ronald Sigdahl: Neal, Alinda, good day. Congrats on the strong business trends. I want to start with the customer-friendly outcomes in December. Curious how much that impacted results, if you can quantify that. And then secondly, how that has translated into potentially greater recycling of profits in play as you look at January and February, and if there are any notable trend differences to call out between sports and casino as we start the new year?
Neal Menashe: Okay. So hi, Ryan. Great job. So the quarter started off really great, but obviously in December sports outcomes were made more customer friendly. Obviously, in Africa, a couple of Nations, Champions League, and the English Premier League. You recall Q4 2024, we had a hard comp of 16%, and we ended the quarter with sports at 11.4. December was meaningful, given that we estimated it was probably about a $20,000,000 EBITDA impact from these outcomes. But obviously, it did flow through on our side in January. As Alinda said, we really had a fantastic January. But again, you know, it is all about the favorites and drawing or losing, but this is what we sell. We sell that the favorite obviously sometimes can win all the time. And we see lots of activity in our casino. If you compare casino Q4 2025 to the prior period, it is up significantly.
Ryan Ronald Sigdahl: Great. Just given the strength of the business, and some recent news, I guess, can you explain what the company is doing from a charitable standpoint with Betway Cares, reinvestment in the community? I saw Mr. Beast yesterday. Certainly seems like a lot of good things you guys are working on. It has been spun a little bit negatively by certain people. So curious just to level set what you guys are doing with your communities and reinvestment. And then secondly, Alinda, if you can just explain at a high level how those expenses and the spending flow through the income statement. Perfect.
Nkem Ojougboh: Before I hand it to Alinda on the accounting, let me give some context of Betway Cares. At a high level, Betway Cares is our charitable trust in South Africa dedicated to community initiatives, clean drinking water, sports development, art, cultural access, and with the goal of driving long-term impact. So we do vast amounts of charities across the spectrum. Alinda can now talk to how that flows through our income statement.
Alinda Van Wyk: Yes. Thanks, Ryan. On the accounting side, IFRS requires us to consolidate 100% of the earnings of the South African entity, as well as 100% of the expenses of the minority, which is Betway Cares. And the operating expenses of Betway Cares are expensed as general and administrative expenses, and what we spend is shown as restricted cash on the balance sheet.
Ryan Ronald Sigdahl: Great.
Nkem Ojougboh: Thanks, guys. Good luck.
Ryan Ronald Sigdahl: Bye.
Nkem Ojougboh: Thank you.
Operator: The next question comes from Jordan Bender of Citi. Your line is now open. Please go ahead. Good morning, everyone. Thanks for the questions. Two for me. One on South Africa, we saw potential flare up in tax changes towards the end of last year. Are you able to help us just better understand what you are hearing and seeing on the ground and maybe the outlook for that? And then the second question, so we have 2026 guidance. You guys gave us your 2028 targets at your Investor Day a couple months ago, or back in September. From what the guidance range maybe tells us is you can potentially get to the low end of your 2028 targets by this year. So are you able to just help us understand what you are seeing might be running better than expected when you gave that outlook back in September? Thank you.
Neal Menashe: Okay. So I will start with South Africa. There is obviously no new update. All the operators in South Africa expect to submit their responses in February to the government paper, and then go through different committees. So we will see how that goes. From our perspective, when it comes to all these countries, it is all about operating efficiently, right? And that is what you will see in our guidance and our margin. So it is all about that operating leverage that we keep talking about in this business. Also that extra revenue coming in at almost 50% to 60% to our bottom line. So from the guidance for next year at $680,000,000, we hope by 2027–2028, we will increase that as the operating leverage kicks in and our marketing efficiencies across the world start playing out.
Alinda Van Wyk: Maybe just to add to that, we made specific reference to long-term goals more than guidance. And what we had to embed this quarter for the guidance of 2026, and when we put it all together, it is just to keep in mind the effect of the UK tax that is in effect in April of 2026 as well as the change over to a regulation in Alberta, which we embedded in the guidance of 2026 halfway through the year. The interesting thing as well is we build our guidance on our continued customer momentum. I think we spoke a lot about our cohorts, and that is even though we have a lot of confidence in what already exists within our business, we remain quite conservative in how we roll it out in the next couple of years.
Jordan Maxwell Bender: Understood. Thank you very much.
Operator: The next question comes from Bernie McTernan of Needham & Company. Your line is now open. Please go ahead.
Bernard Jerome McTernan: Great. Thanks for taking the questions. Maybe just to start, I have two. Just wanted to ask on Nigeria. So the slide deck mentioned assessing a new plan in Nigeria. So just wanted to get a sense in terms of what is contemplated in the guide, and what is the timeline of the rollout of that new plan. And then also discussion on the final regulatory approval for Apricot. So I just wanted to make sure, was Apricot always treated at arm's length since the original deal announcement, I think a couple years ago at this point? And more importantly, what will you be able to do now with that final regulatory approval that you were not able to before?
Neal Menashe: Okay. So just obviously in Africa, we continue to operationalize in all the countries within Africa. And we are still refining our strategy in Nigeria. We expect low single-digit World Cup tailwind there. Right? So Nigeria is more to decide what we are doing, which part of the market we are setting, and we have one or two other African countries we are looking at there. But we see lots of low-hanging fruit in all our other African markets. Operationalize it in the same way we have operationalized the other markets across the world. When it comes to Apricot, as you know, we purchased the Sportsbook technology, bringing it in-house. Just to explain that Sportsbook technology is for Betway outside of Africa. We now have full control over it. So it means that all the staff, etc., come into our organization and then we can even do more product enhancements with the software because now we own that part of the product.
Alinda Van Wyk: Yeah. And maybe just to add to that, even though the transaction was reported on and detailed, explained in the 20-F that we previously published last year, we only could complete the transaction now when we had regulatory approval to operate this product in different jurisdictions.
Bernard Jerome McTernan: Got it. Thank you both.
Operator: The next question comes from Jason Tilchen of Canaccord. Your line is now open. Please go ahead.
Jason Ross Tilchen: Good afternoon where you guys are. Good morning from here in New York. Just wanted to start with a question. You obviously provided some extra balance sheet flexibility. Wondering if you could just remind us a little bit of what some of the key, as you contemplate potential M&A opportunities, are? What would be the type of acquisition you would be focused on here in the near term? Is there any sort of country or region in particular you feel you could be strengthened via M&A?
Neal Menashe: Okay. So as you know, when it comes to M&A, we always are highly selective. We do not really need M&A to hit our plans. And obviously, if they are bolt-on, improve tech, our products, or market position with attractive returns, we will engage. But I think the real key for us is we are not overpaying. We have seen lots of our competitors overpay, and that is not what we do. It has to make strategic sense for us. And the businesses we acquire have to either be standalone or, if they are coming into our world, we can then take them to another level. So that has always been how we look to it.
Alinda Van Wyk: And yes, Jason, you made reference to a nice amount of cash on the balance sheet. So how we deploy that is discipline first and flexibility next. Organic growth has always been important to us with a clear eye on return on investment. And then you have noticed we pay regular and special dividends. So, and as Neal said, we will only select bolt-on opportunities that strengthen our core.
Jason Ross Tilchen: Very helpful. And then just one quick follow-up. I am wondering if you could share a little bit more on the strategy in Alberta, and how you are taking learnings from the Ontario transition and applying them to improve performance here this time around?
Neal Menashe: Okay. So as we know, Alberta is expected to regulate in Q2 2026. I mean, I will say this, we are ready. We have learned our lessons from Ontario of how to migrate the customers from our .com product to now Alberta. We have also enhanced our rest of Canada product and Ontario products, so all those features will now come into the Alberta product. I think we saw lots of heavy marketing activity early on in Ontario. I am not sure that all the competitors can keep spending as they have been spending. So we think that will be a more rational competitive environment. And as you know, we have already got the revenue. So we spend X percentage of our marketing on revenue, we already have that revenue, so we are ready to see it as soon as all the regs come and we are ready to go. We go for—
Jason Ross Tilchen: helpful. Thanks very much.
Nkem Ojougboh: The next question comes from Clark Lampen of BTIG.
Operator: Your line is now open. Please go ahead.
Clark Lampen: Thank you. Good morning, everyone. I wanted to follow up on Bernie's question before around Nigeria, but maybe in a broader context. I think back to what you laid out for us in September, I think there were up to four markets that were targeted potentially for expansion. Are any of those encompassed in the plan for 2026 or embedded in guidance? Or, yes or no, maybe you could give us an update on which of them seem most addressable or, I guess, most actionable near term.
Alinda Van Wyk: Yes. Thank you for your question. The only market in expansion into Africa that is included in the guidance is Namibia at this point in time. We did call out one or two other markets as well in Investor Day like you have mentioned. But we also remain disciplined to have a strategic roll-up plan and make sure that how we operate in Africa is 100% effective and we also obtain that operating leverage there.
Neal Menashe: And I will just add to that is, remember, the charge of that one country, we are obviously rolling out our Jackpot City brand as a pure-play casino in more African markets. And we have got a few of them coming online. And then at the same time, operationalize the existing products and teams that we have got in those regions.
Clark Lampen: Understood. And a very quick follow-up, if I may. Neal, I think you called out a low single-digit benefit in Nigeria from the World Cup. Would it be possible to quantify how big the tournament could be for your sports business in 2026 from a handle standpoint—
Nkem Ojougboh: Yep. Go ahead. Sorry. Yeah.
Neal Menashe: Okay. So what we said is generally in our budget, we have got low single-digit World Cup tailwinds across. I mean, just to put it in perspective, 40% of the countries we operate in are participating in the World Cup. So the World Cup is obviously in expanded format. So what it can mean in the beginning part of the World Cup, you will have really good teams against not such good teams. That might mean we have more favorites winning in this World Cup, but it is a longer tournament with a lot more games. So we believe the engagement over time is going to be really good. And obviously, the World Cup is at a time when we normally would not have many sporting events. So that is really going to fill the calendar for us from a net perspective.
Clark Lampen: Thank you very much.
Operator: Thank you. The next question comes from Mike Hickey of StoneX. Your line is now open. Please go ahead.
Mike Hickey: Hey, Neal, Alinda, Nkem. Great job, guys, on a stellar 2025. Just a few questions from us. First on Apricot. I think, Alinda, you were sort of penciling out $35,000,000 in EBITDA savings from the deal and integration. Is that still the number you are thinking about in 2026? And how much have you baked into your guidance now that you have completed or have the official approval to complete this deal?
Alinda Van Wyk: Yes. Thanks, Mike. During Investor Day, we called out $35,000,000. This is not a day-one saving. This is an annualized saving projection. And these savings will come from reduced royalty fees, infrastructure enhancements, and most importantly, bringing staff closer to Super Group (SGHC) Limited. So we are starting to bring the team together. The savings definitely already started, but this is the annualized number that we called out. And we will update you on progress as we continue and execute according to our plans.
Mike Hickey: Alinda, just to confirm, you have put the presumed savings now into your guide, correct?
Alinda Van Wyk: That is correct. The savings that we are realizing in 2026 is in the guide. Correct.
Mike Hickey: Okay. Awesome. I guess next, just to stay on the guide, Alinda, did you also bake in presumed savings on the Supercoin initiative as well? Or is that something that you would look to just earn as you continue to roll out the product? I guess the next big step would be the wallet.
Neal Menashe: So obviously, the last two of the launch in South Africa and obviously it is a step towards broader payment and engagement. It will take us time. Obviously, you cannot just switch the lights on and it just happens. Customers have to test it. So one is we have the customer base. Two is we have the product that our African customers love. So we are going to start as soon as the wallet comes in in the first half of this year, be able to incentivize to that. But it is already helping us save on other banking fees from the different suppliers we use. So we are already seeing a benefit. So some of that is obviously into our guidance. Okay. Last question. On the World Cup, I mean, it is pretty obvious to see how strong of a catalyst that is going to be for you guys. Onboarding players here and the cross-sell to iGaming is significant. I think you said 60-plus percent. Just, I guess, reflecting on the Africa Cup and the pressure on hold that you experienced at the beginning of that event. Given that the World Cup this year has expanded significantly, how do you assess early tournament risk on hold and what you would do to mitigate that if that is a factor that we should be thinking about?
Neal Menashe: Yeah. So listen. I think it is better that there are more teams. In all the past World Cups, we have always found in early rounds some of the favorites do not win, either win or draw. Sometimes they do not even qualify for the next round. What we have done and will do is that we are all over our incentives and our boosts that we give the customers in the tournament, especially in the early rounds. So this is all a massive exercise of working out where the volatility lies. And as you can imagine, especially from Africa Cup of Nations, we have learned some clever lessons there. Also, what does happen is you saw what happened in December, and then it all flowed through in January where the sports results went the other way. So then you get nirvana. You get brilliant sports margin, and you get your constant casino. So together, that helps us. And also, we have got all the new AI pricing, new initiatives we are embedding from our traders, etc. So we are all over this. And the World Cup, I think, is going to be a real catalyst. It is all about the customer engagement. Remember, it is not about the customer just in the first week or two of the World Cup. It is keeping his or her engagement going forward. And that is what our whole business is about. And then the cohort analysis that Spencer kept on showing on our Investor Day is how the cake is layering. This just helps layering the cake even more. And just to conclude, remember, our sport is 20% of our business. 80% is casino. So we like to believe that the 80% casino being casino-focused gives us the ability to navigate the ups and downs of sports.
Michael Joseph Hickey: Absolutely. Good luck, guys. Thank you.
Neal Menashe: Thank you. Thanks, Mike.
Operator: The next question comes from Jed Kelly of Oppenheimer. Your line is now open. Please go ahead.
Jed Kelly: Great. And thanks for taking my question. Just looking into your guidance, can you just talk about, you know, some of the risks which would be returning with their aspect to direct—okay—there is a new—pedal around on—broke. You know, anything we should be. Thank you.
Neal Menashe: So, Jed, you are just breaking up. We got some of it, not all of it. Do you want me to just—sorry. Just repeat that. Sorry. We heard every second word.
Jed Kelly: Yeah. Could you just talk about some of the risk in terms of potentially the, you know, some of the risk in the guidance on why it could come in under your, you know, under—
Nkem Ojougboh: expectations.
Alinda Van Wyk: I think the risk around any guidance is usually the variance, and the variance would cut both ways. So over time, hopefully, like we just mentioned, the sports results will normalize, and we feel comfortable that that will even be the effect of our 2026 guide. And we have already started to see that because January was exceptional, more than we have ever seen, but it has already normalized to our trailing twelve-month average of the results in February. And we just have to make sure that we look at, like my reference is to launch more of the Jackpot City in different countries so we have that uplift in growth.
Neal Menashe: And then I think to answer some of the questions I thought we got was in the guide, we have done a normalized sports—yes, sports margin is embedded into the guide.
Nkem Ojougboh: Yeah. And maybe there is always that risk of sudden regulatory shift like taxes, but that we have been navigating for the last twenty years. So we take a conservative approach around including that in the guide.
Jed Kelly: Great. Thanks. And then if you can hear me alright, I will sneak one more in. Any regions outside of Africa we should be watching that could potentially open up?
Neal Menashe: The—listen. I mean, obviously, Brazil was last year or the year before. There is talk of UAE, etc., coming. So again, it is all about the numbers. It is all about what are the taxes, what you can do in those markets, what product, is it sports, is it casino?
Nkem Ojougboh: So—
Neal Menashe: from that perspective, that one. Most of the European countries, as you know, are all regulated today. And there are one or two African countries that are starting to regulate over time. So we are all over it.
Nkem Ojougboh: Thank you. Good luck.
Neal Menashe: Any more questions from anyone?
Operator: We have no further questions.
Neal Menashe: Okay. So again, thank you everyone for joining today's call. We are really, really super proud of our performance in 2025 and the start of the new year. We will speak to you again soon. Thank you.
Operator: This concludes today's call. Thank you all for joining. You may now disconnect your line.